Operator: Good afternoon and welcome to the Digital Turbine Fourth Quarter and Fiscal Year 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Brian Bartholomew, Senior Vice President of Capital Markets. Please go ahead.
Brian Bartholomew: Thanks, Gary. Good afternoon and welcome to the Digital Turbine fourth quarter and fiscal year 2022 earnings conference call. Joining me on the call today to discuss our results are CEO, Bill Stone; and CFO, Barrett Garrison. Before we get started, I'd like to take this opportunity to remind you that our remarks today will include forward-looking statements. These forward-looking statements are based on our current assumptions, expectations and beliefs, including projected operating metrics, future products and services, anticipated market demand and other forward-looking topics. Although we believe that our assumptions are reasonable, they are not guarantees of future performance, and some will inevitably prove to be incorrect. Except as required by law, we undertake no obligation to update any forward-looking statements. For a discussion of the risk factors that could cause our actual results to differ materially from those contemplated by our forward-looking statements, please refer to the documents we filed with the Securities and Exchange Commission. Also during this call, we will discuss certain non-GAAP measures of our performance. Non-GAAP measures are not substitutes for GAAP measures. Please refer to today's press release for important information about the limitations of using non-GAAP measures as well as reconciliations of these non-GAAP financial results to the most comparable GAAP measures. Now, I'd like to turn the call over to our Chief Executive Officer, Mr. Bill Stone.
Bill Stone: Thanks, Brian, and thank you all for joining our call tonight. Before diving into our micro results, I want to begin my remarks with some commentary on the macroeconomic situation as it appears to be dominating investor focus and overshadowing company-specific news right now. First, we want to be clear that we stand behind the people of Ukraine. Between our direct employees and contractors, we have over 100 Ukrainians working on the DT team. And while the macro situation in Ukraine is horrific and sad, the acts of kindness, sacrifice and generosity I've been able to witness by our broader DT community towards helping the Ukrainian people impacted has been an amazing tribute to the human spirit. Our team will continue to try to do its small part to help and hope that the situation can find a peaceful outcome for Ukrainian sovereignty. And in addition to Ukraine, the past few months since our last earnings call have seen more macro change and uncertainty that at any point during my time at Digital Turbine. Inflation, interest rates, geopolitics, supply chains, other companies opining on the future of the digital ad market and timing of the next recession have dominated investor focus over fundamentals and operating performance. 100% of companies in our space are impacted by these events, including us. However, I continue to believe the impact to us is much less than others for a few reasons, including, first, our company has been profitable for four years and growing at a compound annual growth rate of over 180%, including nearly 160% EBITDA growth this past fiscal year. Our platform is designed for showcasing return on ad spend, which is critical in time like these for marketers. Our market sector of mobile media is vibrant and still growing. The operating leverage of our mobile cloud software business is relatively immune from input costs and inflationary pressures as showcased by revenue growth. And finally, all of this momentum is occurring with no incremental cash operating expenses required. However, we are not 100% immune. And unlike many others who have been private and recently gone public, our history has demanded disciplined cost management to navigate uncertain waters, which we believe will be a strategic advantage for us over the long term, assuming these macro conditions persist or potentially get worse. Turning to our company results, highlights, and forward outlook. As a reminder, we are now organized around two divisions: our On-Device solutions business, which includes our legacy App Media business, our Content Media business and our SingleTap business; and secondly, our app growth business, which includes our AdColony, Fyber and Appreciate businesses. My comments will be focused on how we are now organized as these new businesses versus the legacy businesses. We've also changed some of our revenue reporting in our app growth platform business from gross revenue to net reporting. Barrett will provide more details on the specifics and rationale. But from my perspective, this helps simplify our operational approach and also provide investors a better apples-to-apples measure with our peers on gross margins, EBITDA margins, cost structure and profitability metrics. Now as we close out our fiscal year and stepping back from the macro situation, I think it's important to highlight one year ago, we reported our annual results for fiscal '21 that included revenues of $314 million, $75 million of EBITDA and $0.74 of non-GAAP earnings per share. Tonight, we are reporting our annual fiscal '22 results of $748 million of revenue, $195 million of EBITDA and $1.66 of non-GAAP earnings per share. That's an as-reported growth of 138% for revenues, 158% for EBITDA and 124% for non-GAAP earnings per share. In addition, since we closed our AdColony and Fyber transactions three quarters ago, we have delivered over $100 million of free cash flow in those three quarters since we've been reporting as one company. So before we dive into the specifics, I want to highlight and remind investors just how much our company has achieved in such a short amount of time, and in particular, in our ability to showcase the operating leverage of the model of not just being profitable, but growing profit faster than top line. And for the March quarter specifically, we made a conscious effort to focus on gross margins, which improved sequentially from 46% to 49% and compares to 41% in the March quarter last year. For our On-Device business, the drivers of those results were driven by more devices, more products and more media relationships. In particular, we added over 266 million devices in the fiscal year, which compares to 222 million devices in the prior fiscal year. This growth was predominantly international as U.S. device sales were marginally up year-over-year. We also diversified our product portfolio. In fiscal '21, 50% of our On-Device revenues came from Dynamic Installs. And while Dynamic Installs grew in fiscal '22, but as a percentage of our total revenues, it is now 44% as products such as SingleTaps, Folders and so on have grown much faster. And finally, our media relationships expanded as we announced many new partners, such as TikTok and AccuWeather. These expanded product and media relationships drove improved revenue per device, or RPD, which is a key health metric of our business. In the United States, our revenue per device was $2.10 in fiscal '20, $3.30 in fiscal '21, and $4.70 for fiscal '22. Internationally, we're still not where we aspire to be, but we have doubled our RPDs from $0.10 in fiscal '20 to $0.20 in fiscal '21 to over $0.40 in fiscal '22. On the app growth platform business, our year-over-year growth of more than 30% on revenues was driven by stronger rates and more volumes. In particular, we saw strong double-digit growth rates in eCPMs and a more than 40% increase in impressions served. More penetration of video advertising with higher rates and more pricing elasticity and expanding app publisher relationships internationally were the key drivers of that volume and rate. In particular, I was really happy to see the strong growth in both video globally and APAC as a region for all ad formats. APAC had strong annual growth in excess of 75%. And as an example of the global video growth, in the fourth quarter of 2020, Fyber did $1.3 million of gross video revenue. In the fourth quarter of 2021, it was approximately $15 million. And in the fourth quarter of 2022, it was $28 million. We can tell a similar growth story for AdColony's video efforts on its private brand marketplace deals as well. The point is that the strategic investments that both Fyber and AdColony made prior to the acquisitions operating in global marketplaces are what is bearing fruit today. And finally, regarding Apple's IDFA changes. Now that we are nearly a year on from IDFA, we can conclude that our business really saw little impact from the Apple changes. Our iOS share of revenues is now approximately 20% of total revenues, and less than 5% of that is tied to budgets explicitly linked to IDFA. I want to call this point out specifically is while I have no idea what Apple is going to announce at its developer conference next week, I do want to remind investors what a small percentage of our overall revenues are tied to any changes Apple decides to make, pro or con, to its platform. As we turn towards our new fiscal year, I want to highlight the progress on our growth drivers. First, on our On-Device business, we expect to see new product growth from things such as SingleTap licensing, where we've made some material progress since our last earnings update. We are now signing contracts and entering live trial phase with many Tier 1 partners this quarter. Expect to see those begin generating revenue in the September quarter and ramping in the December quarter. Early results and interest has been encouraging, and we expect to see this as a large growth driver and a margin enhancer into the future. Similar to our early days of our business where we launched one carrier ramped and then another carrier ramped and so on, it layered on nice sequential growth as we expanded the depth and breadth of carriers and OEMs. I expect a similar trend to emerge with our SingleTap licensing business. Ultimately, we expect this part of the SingleTap business to exceed our current direct approach to SingleTap, which grew 650% from fiscal '21 fourth quarter to fiscal '22 fourth quarter. We're also excited about our progress on a variety of operational improvements we've been making to our Ignite platform in terms of scalability and efficiency. For example, migrating our American Mobile account from their proprietary solution that we integrated with many years ago to our standard solution should enable better performance and better revenue per device and ability to add new features. We've also seen the ability to better leverage our on-device firmware updates and app updates to drive improved performance in revenues. This all has the impact of improving our revenue per device. We also expect to see growth from our App Store strategy. While we see this more as a driver beyond 2022, we are already seeing early revenues emerge today. And as a reminder, we are expecting numerous pieces of bipartisan legislation in both the EU and in the U.S. to become law that will disrupt how applications and digital advertising work. We view these regulations as a tailwind for our business. As a parallel, in the e-commerce world, we are all used to having companies like Amazon that sell nearly everything and then more segment-specific stores that white label e-commerce capabilities from companies like Shopify to sell their goods and services. Due to the dominance of Apple and Google bundling the OS and app stores on smartphones, this white label capability has been difficult to execute in the app distribution world. Today, we offer up things like games folders that can be from a single company like Zynga or for a specific type of game catalog. But the idea of a carrier store, a Disney store, a streaming video store and so on are not widely utilized today due to the bundling of the operating system with the App Store. We see us being in a unique position to potentially power these types of offerings regardless of platform, and our early conversations have been encouraging. On our app growth platform, as a reminder, our main growth strategy is to own our own network or direct demand, where we can take inefficiencies out of the digital supply chain of mobile advertising. We continue to make progress in our revenue synergies, which are still early days, and we're over 10% of our revenues. We're planning to launch in the next few months some new initiatives that should help accelerate those revenue synergies and simultaneously help drive more profitable top line growth. Specifically, a few examples are consolidating our ad tech on the legacy Fyber and AdColony devices into one exchange, where demand and supply platforms such as The Trade Desk can purchase more inventory at scale. We anticipate this will generate many tens of millions of dollars of incremental revenue this fiscal year and begin next quarter. And secondly, we are integrating our SingleTap capabilities into the Fyber exchange. This capability will make it more attractive for advertisers to bid on Fyber inventory, which in turn should be an overall growth driver for our app growth business. We also continue to make progress in our brand efforts and our mediation efforts. And given our relatively small market share in both of those markets, it does not take much momentum to move the needle as our efforts add more scale to sell against. And our cost synergies have been impressive as our cash operating expenses are relatively flat year-over-year despite making many investments in our efforts discussed above. These investments are able to be funded by the synergies of the combined businesses. And finally, we've been working on a number of integration activities of systems, processes, tools and organization. This behind-the-scenes work has been material. And while there's been some double lifting of the teams to support the present and the automation of the future that's marginally impacted some of the execution, the ability of the team to do both has been impressive. And also, we will be migrating all of our activities to the Digital Turbine brand this summer and sunsetting the Appreciate, AdColony and Fyber brands with a renewed look and feel for the DT brand. So combined between our app growth business and our On-Device solutions business, we've seen plenty of profitable growth drivers in an integrated company that we believe will help to drive the next phase of our strategy. With that, this concludes my prepared remarks, and I'll turn it over to Barrett to take you through the numbers.
Barrett Garrison: Thanks, Bill, and good afternoon, everyone. We capped off another very impressive year and delivered a strong fourth quarter performance. For the fiscal year 2022, we reported $747.6 million in revenue, growing 138% as reported and 31% growth on a pro forma basis. We generated $195.2 million in adjusted EBITDA, an increase of 158% over prior year, and delivered $170.6 million in adjusted net income or $1.66 per share as compared to $0.74 per share prior year. In addition to the outstanding financial performance delivered in the year, we simultaneously integrated three key acquisitions to our platform, and we continue to drive towards a growing $400 billion of TAM. As it relates to our recently acquired businesses and as communicated in our recent press release, after conducting a thorough review, we restated certain product revenues of the recently acquired businesses to be on a net basis for FY 2022. Previously, all of the Fyber and AdColony publicly reported revenues were on a gross revenue classification. In addition, certain hosting expenses associated with the acquired businesses have been reclassified as cost of revenue, which were previously partially reported as product development expenses. These changes in presentation of the revenue and reclassification of certain cost of revenue are reflected in our recent amended Form 10-QAs. These changes did not have an impact on our operating performance, our earnings metrics or cash flows, and there is no change to the On-Device Media business. We also believe these reporting changes should assist investors with peer comparisons and highlight the relative profitability of our business model. Also, since the Company has closed several significant transactions during our fiscal reporting period and made the reporting amendments I referenced earlier, this has impacted the normal timing of our year-end audit. And as a result, we have filed a 15-day extension and anticipate reporting our 10-K in the coming days once the final audit is completed, confirming our results announced today. Now turning to the financial performance in the quarter. Revenue of $184.1 million in the quarter was up 94% as reported and 19% on a pro forma basis. We delivered healthy revenue within a challenging macro climate and while integrating our new businesses to the Digital Turbine family. In addition, I'd highlight these results were achieved against challenging prior year comps. Our top line growth enabled gross profit to increase 129% to $90.2 million in the quarter. Gross margin on the platform was 49% in Q4, up from 41% in the prior year and up sequentially from 46% in Q3. While focus on margins enabled expansion across our business lines, our On-Device business was an important driver in the sequential increase driven by the mix towards our higher-margin products, and Q4 represents an expected normalized level. We experienced continued impressive expense scale in the platform as cash expenses were $39.8 million in Q4, flat year-over-year on a pro forma basis, while revenues were up over 19% in the period. Total operating expenses were $62 million, including $13.5 million in amortization of intangibles and $2.6 million in transaction-related costs and compared to a total as-reported operating expenses of $23.1 million in the prior year. While we've experienced lower-than-expected operating expenses, partly driven by the virtual work environment, we do anticipate these return to work expenses to increase to near pandemic levels over the near term. Integration of the acquisitions continued to be a focus, and we expect to make continued investments to migrate certain systems to a unified platform. These near-term investments are anticipated to drive continued cost benefits to be realized over the coming quarters as integration efforts are successfully implemented to further improve our efficiency and drive further operating leverage. Adjusted EBITDA of $50.4 million in the quarter was up 124% over prior year. EBITDA margin of 27% improved from 24% in the prior year. I'm proud that our operating leverage and consistent EBITDA growth is being achieved even as we make continued focused near-term investments, primarily within our sales force and technology teams, to support new partners and products and to drive future incremental revenues on this platform. In this context, we would expect our EBITDA margins to continue to expand over time given the inherent operating leverage in our business and the return to be realized from our near-term investments and synergies to be generated from the integration of our acquisitions. I also continue to be pleased with the profitability and the free cash flow delivered by our business. In the quarter, we achieved non-GAAP adjusted income of $41 million or $0.39 per share as compared to $24.5 million or $0.25 per share in the fourth quarter of 2021. Our GAAP net income was $20.1 million or $0.19 per share based on 104.2 million diluted shares outstanding compared to fourth quarter of 2021 net income of $30.1 million or $0.31 per share. Our free cash flow for the quarter was $36.3 million. And with the combination of the acquired businesses on the platform, we generated a total of $127 million in free cash flow in fiscal 2022. We exited the quarter with $127 million in cash, and our debt position ended the quarter at $536.6 million, consisting of $524.1 million drawn on our revolving credit facility. During the quarter, we made our final cash earn-out payment related to the acquisition, and we've completed all the cash and earn-out obligations related to the acquisitions made this year. We're confident in our balance sheet and capital position with a low-cost credit facility, strong free cash flows, combined with the strategic acquisitions integrated on the platform. We're excited and poised to execute on our growth plans for fiscal 2023 and beyond. Now let me turn to our outlook. As we consider the ongoing macro environment, we currently expect revenue for Q1 to grow between $183 million and $187 million and adjusted EBITDA to grow to between $49 million and $51 million and non-GAAP adjusted net income per diluted share to be between $0.34 and $0.35 based on approximately 105 million diluted shares outstanding and an effective tax rate of 25% on our non-GAAP adjusted net income. In closing, we are proud to be a high-growth technology company that consistently generates strong earnings and free cash flow. We're pleased with our performance in the quarter and the continued execution from our team. I'm excited to build on the momentum and success in the fourth quarter of our fiscal year and beyond. With that, let me hand it back to the operator to open the call for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Darren Aftahi with ROTH Capital Partners. Please go ahead.
Darren Aftahi: A couple, if I may. First, Bill, you mentioned licensing opportunity with SingleTap. I think, if I heard you right, you said you had some deals signed and some that are getting closed and kind of a ramp in them. Yes. So I guess first question around there, if you kind of just contextualize the traction you've made there and kind of what kind of dominoes we might see in the environment we're in.
Bill Stone: Yes. Thanks, Darren. Yes, on SingleTap licensing, and as I mentioned in my remarks, I actually see this as kind of emerging very similar to how the early days for us. It started with Verizon and then AT&T, Cricket, Samsung and Tracfone, all the rest of them, where you bring on a partner, it takes a while to bring on that partner because you got to integrate into their processes of how they do business. So a lot of these large Tier 1 players already have existing processes for how they do app installs. And so we've got to integrate into that. And we're in the process of doing that right now. As I mentioned, we're in trial phase with a number of them right now. Expect to start to generate some revenue for next quarter and then ramping it from there on out. And as we add those new partners, I think those will be nice sequential growth drivers as we continue to add each one of them. I think as we're just seeing in the macro world right now, people are trying to figure out how to improve their performance for their businesses, how do they improve conversion rates from the advertising dollars that they're spending, and obviously, SingleTap accomplishes that. So, there's a tremendous amount of interest right now in SingleTap licensing. We're excited about it. I think the key for us is just having to work with these larger companies to integrate our technology into their existing processes, which requires a little bit of work by them on their side. And so just kind of just getting that kind of time and materials work through is what we're taking to the ground floor right now. But we're extremely bullish, and the feedback so far has been very positive.
Darren Aftahi: Okay. And let me squeeze in one more. Could you talk about kind of the expansion of the Samsung relationship, kind of how many new SKUs you're going to be on and then just what the number of devices have in the quarter were?
Bill Stone: Yes. Yes, sure. So when we think about our Samsung relationship now, a year ago, we were doing millions of devices and now we're doing many, many, tens of millions of devices with them globally right now in I think about 75 different countries around the world right now. So we continue to expand with the relationship with Samsung, continue to look to expand even more. We obviously are bullish that SingleTap will be a catalyst for that since that's incremental economics for Samsung, and we're kind of in the midst of finalizing those plans right now.
Operator: The next question is from Tim Horan with Oppenheimer. Please go ahead.
Tim Horan: A few questions. The SingleTap, you had given some expectations for revenue a couple of years out. Can you reiterate that? And I know you now -- you said that licensing could be bigger than what you'd do yourself. Can you just give us some more color around what you meant by that?
Bill Stone: Yes, Tim. So when we were at our Analyst Day, we basically had presented a plan to say, okay, hey, over the next few years, how do we make this a $1 billion business. And we've broken out some math to talk about how we do that on a per-advertiser basis on our demand side platform, and we continue to add advertisers to that and are scaling that today. As I referenced, 650% year-on-year growth on that platform for where we were a year ago to today, so that absolutely is one of the drivers for it. And then today, I think one of the things we wanted to spend a little bit more time talking about, as Darren just asked about, was on the SingleTap licensing side and how we see actually to get towards the broader $100 billion addressable market app installs today, and that's more likely for us to get our piece of that through the licensing part of the business versus trying to only do that on a direct basis through our demand side platform. So, that's where we want to talk about some of our progress points today and look forward to keeping you guys updated on future calls against that.
Tim Horan: Okay. Great. And just two other questions. I know you're investing for one platform, one ad tech platform and one brand. Are these material investments quarterly? And when should they end? And should we see synergies at that point? I guess, what do you think the EBITDA's impact now? And what does it mean for if it reverses?
Bill Stone: Yes. Let me start, and then I'll turn it over to Barry for some specific thoughts on the cost structure side. One of the things I'm just really proud of is just how well this team hustles and makes investments, and we're able to fund investments there's through efficiencies and synergies. The fact that we grew all the metrics that we just talked about in the prepared remarks and basically did that with zero incremental cash OpEx is just a testament to the efficiency to model, the efficiency of the team and just how much hustle they have. So, we're making these investments without having to go out and spend incremental dollars against them. Now of course, we want to -- we're going to continue to make investments in the business, and we continue to look to accrete EBITDA margins and harvest some of those investments. But I don't know, Barrett, if you want to jump in here on some specific thoughts on the cost structure.
Operator: Pardon me, it looks like Barrett's line has disconnected from the call.
Bill Stone: Okay. Well -- so let's keep going operator.
Operator: The next question is from Anthony Stoss with Craig-Hallum. Please go ahead.
Anthony Stoss: Bill, how much was SingleTap in the March quarter? Bill?
Bill Stone: Yes. So we're not breaking the revenues out, Anthony, anymore. And the reason for that is -- so we're starting to do revenues, for example, on the AdColony business, and so we're just adding as an adder. So, if we do $1 of revenue that was already there and how much do we get to cost accounting issues in terms of applying capabilities on the revenues that are already there and incremental. We kind of wanted to think about SingleTap as a little bit more as an enablement capability versus specific revenues. I called out the 650% on the demand side platform. But we're not trying to break out a specific business just because there are so many elements now of how SingleTap is being used, whether I've talked on the Fyber exchange, the AdColony part of the business, the licensing business and the demand side platform business. It can get confusing in terms of how you want to allocate the dollars appropriately.
Anthony Stoss: In the past, you've talked about two different ways of getting paid kind of an ongoing revenue share, also a onetime fee per subscriber. Have you honed in any further? Or how do you expect to get paid from these first several partners?
Bill Stone: Yes. I think the first one you're going to see us get paid is really -- is a licensing fee for each transaction that we generate and then some kickers based upon enhanced performance.
Anthony Stoss: Got it. And then you called out weakness. Is it more on the Fyber side than the AdColony side or any geopolitical side? I'd love to hear your thoughts just where you're seeing the weakness.
Bill Stone: Yes. I think for our business right now, I think that we're seeing some ad spend softness, as many others have talked about in Europe. I think I kind of equate this time a little bit to when IDFA came out a year ago. And what happened was when you introduce all this new change into the system, a lot of times, budgets -- people were spending $100, and then they say, okay. We're going to spend $80, just to kind of see what happens. And then once they see where the dust settles, then they go back to start spending $100 again. And I think what we're seeing right now with -- specifically in the -- in our Europe and Russia part of the world, is that kind of behavior is happening right now. I think we're starting to see some early days here in the U.S. in terms of people trying to be a little bit more cautious in overall. But I think one of the good things for us is because everything that we do has to generate a return on ad spend, so those -- we tend to get those dollars in those budgets because we can correlate that dollar directly back to what an advertiser spent with us. And so that's really important, much more important than a 30-second spot during the Warrior Celtics game later this week, where you don't necessarily know what the return on net ad spend is going to be. The fact that we can correlate that back, I think, insulates us a little bit more than others.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bill Stone for any closing remarks.
Bill Stone: Yes. Thanks, everyone, for joining the call today. We look forward to reporting on our progress against all the points that we made on today's call, and we'll talk to you again on our fiscal '22 fourth quarter call in a few months. Thanks and have a great night.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.